Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 0:05 Good afternoon, ladies and gentlemen. Welcome to Phunware’s Fourth Quarter and Full Year 2021 Investor Conference Call. Currently, all participants are in a listen-only mode. Joining me today are Alan S. Knitowski, President, Chief Executive Officer and Co-Founder; Randall Crowder, Chief Operating Officer; and Matt Aune, Chief Financial Officer. 0:31 The format today will include prepared remarks by Alan, Matt and Randall, followed by a question-and-answer session. As a reminder, today's discussion will include forward-looking statements. These forward-looking statements, including any such statements referring to the potential effects or impact of the COVID-19 pandemic, reflect current views as of today and are based on various assumptions that are subject to risks and uncertainties disclosed in the Risk Factors section of our SEC filings. Actual results may differ materially, and undue reliance should not be placed on them. 1:08 Additionally, the matters being discussed today may include non-GAAP financial measures. Reconciliation of GAAP to non-GAAP financial information is set forth in the earnings press release which is available on the Investor Relations section of Phunware's website at investors.phunware.com. I further encourage you to visit investors.phunware.com to access not only the earnings press release, but also the current investor presentation, SEC filings and additional collateral on Phunware. 1:43 At this time, I would like to turn things over to Phunware’ss President, CEO, and Co-Founder, Alan Knitowski. Sir, please proceed.
Alan S. Knitowski: 1:54 Thank you very much, and welcome to our Fourth Quarter 2021 and Full Year 2021 Investor Conference Call. As a reminder, Phunware is a 13-year-old technology company focused on the intersection of mobile, cloud, big data and blockchain with business-to-business, business-to-government and business-to-consumer customers worldwide. Our core mission is to create a Phunware ID for every human being on earth that has a device touching a network that is connected to their favorite brands, applications and venues that just happened to run Phunware software or intersect with our cloud-based infrastructure. 2:34 On one side, we provide our B2B and B2G customers with everything they need to succeed on mobile, including the product solutions, data and services for their digital transformation needs on Apple iOS and Google Android devices and applications. On the other side, we provide our B2C customers with the hardware systems, software and cryptocurrency services needed for their engagement and incentivized participation in high-performance gaming, streaming, trading, cryptocurrency mining and personal productivity computing. Central to these efforts are our enterprise cloud platform for mobile called MaaS or Multiscreen-as-a-Service, which is available for licensing under a SaaS business model over a one to five-year contract periods worldwide, and our PhunToken and PhunCoin loyalty and rewards cryptocurrency ecosystem, which has facilitated transactionally with our PhunWallet mobile applications for the Ethereum blockchain. 3:34 The completion of Q4 and full year 2021 constituted continued operational momentum for our business as we further accelerated our MaaS platform vision and adoption across a number of key fronts, including new product introduction, indirect channel expansion, and more than 150% sequential gain in quarter-over-quarter revenue growth with our customers. In parallel, the conclusion of Q4 and full year 2021 subsequently provided even more immediate scale and growth to our business as we operationally integrated and scaled our acquisition of Lyte Technology and dramatically improved our balance sheet, including a year-end close of more than $23 million in cash and a current digital currency balance of more than 641 Bitcoin and 1,217 ETH, valued at approximately $31 million at today's trading prices. 4:30 Importantly, and in tandem, we are providing forward revenue guidance for Q1 and Q2 2022 of up more than 250% year-over-year. Our CFO, Matt Aune, will break down these details and forecast further in his section of the earnings broadcast. In terms of our current operating environment, our core B2B and B2G customers still have not consistently returned to their offices and facilities and remain in a hybrid transition with regard to their employees and contracts safely returning back to work. We expect that cities, states and countries will continue opening on a broader basis throughout the balance of 2022, while also understanding that this process remains an ongoing and unpredictable journey that won't happen overnight. 5:22 In parallel, our B2C customers are both active and fully engaged, demonstrating strong demand for hardware and cryptocurrency alike, completely independent of what we see with the private and public sectors. As suggested previously in past quarters and reiterated again here, we are both excited and comforted by the dramatic increase in activity across all aspects of our product and solution offerings for mobile, big data, cryptocurrency, high-performance computing and the cloud. 5:56 Importantly, this activity encompasses all of our core growth engines rolling forward, including our MaaS cloud, our data-driven loyalty marketplace, our secure blockchain-enabled token coin and wallet capabilities and our high-performance computing systems for gaming, streaming, trading, cryptocurrency mining and personal productivity. 2021 was the genesis of a powerful transition in our company's history as we shifted from a nonrecurring low-margin transaction business to a far stickier, more scalable, recurring and high-margin SaaS licensing business for our MaaS platform. 6:32 In addition to continued enterprise and government interest in our MaaS Digital Front Door solution for healthcare, our MaaS Smart Workplace solution for corporations, and our MaaS Smart City solution for cities, we accelerated conversations with customers from sectors that were hit hard by the pandemic, including the hospitality, real estate and healthcare verticals. These activities resulted in many new customer wins for our team, including Atlantis Bahamas, Regent Square, Phoenix Children's Hospital, Inner Markets, Virginia Hospital Center and Dignity Health Yavapai Regional Medical Center, amongst many others. In conjunction with growing our portfolio of direct customers like these, we also further expanded our global footprint by amplifying our go-to-market strategy with indirect sales and channel partners, including Amazon AWS, Carrier Global Corporation, Cox Communication, HID Global, IBM, Premise Tech, VIZIYA Technologies and Cooper Lighting Solutions 7:40 In parallel, we remain extremely excited about the post launch scaling of fun wallet and our blockchain ecosystem powered by fun coin and fun token. We are continuing to aggressively scale and monetize this part of our business and look forward to the accelerated global adoption of the blockchain enabled MaaS Customer Data Platform and MaaS Mobile Loyalty Ecosystem as we commenced trading a PhunCoin next month in April and PhunToken later this month before closing March. 8:12 As stated above, we are extremely excited to announce today more than 100% sequential revenue growth quarter-over-quarter as promised previously for Q3 to Q4 2021 and also to guide to more than 250% revenue growth year-over-year for both Q1 and Q2 2022, respectively. We finished 2021 extremely strong, with over half of our 2021 annual revenues achieved in Q4 alone. As always, we will continue our core go-to-market strategy centered on direct and indirect agreements and contracts with Fortune 500 customers, especially in the Fortune 100 size range and governments ranging from local and county to state and federal. 8:57 In parallel, we will also dramatically expand our direct-to-consumer channel for B2C engagements across both our high-performance computing and cryptocurrency offerings to consumers. We are extremely excited by a number of developments that have occurred over the past quarter and even more excited by what we see coming in the quarters ahead. First, we added to our MaaS bookings backlog and deferred revenues for future revenue recognition over 1- to 5-year contract period that will ultimately provide SaaS revenue recognition over the coming 12 to 60 months rolling forward. While these efforts do not provide instant or near-term gratification on revenue recognition for our P&L, they importantly demonstrate the ongoing health and expansion of our business and will be broken down in further detail by our CFO in his section of the earnings broadcast. 9:48 As a reminder, and with our MaaS sales cycles typically representing two to four months on average, recent and pending customer wins will start appearing on our P&L in the coming reporting periods ahead. Second, we continue to expand our installed base of Phunware IDs on MaaS to more than 15 billion devices worldwide, including MaaS platform scalability capable of supporting up to five billion transactions per day, 500,000 transactions per second and one billion unique devices per month. With more than one petabyte of data typically growing at more than five terabytes per day when operating at scale, our MaaS platform now provides a robust customer data platform inclusive of both a detailed data ontology and a comprehensive knowledge graph for one-to-one interactions and engagement. 10:43 And third, we commercially launched and started scaling our PhunWallet mobile applications on Apple iOS and Google Android in conjunction with our MaaS blockchain ecosystem, all powered by our PhunCoin and PhunToken cryptocurrencies. While PhunCoin security tokens will only appear on our balance sheet due to their status as a regulated security, PhunToken utility tokens will actually flow transactionally through our P&L as net new and virtually 100% gross margin revenue. 11:12 At this time, our CFO, Matt Aune, will go deeper into our fourth quarter and full year 2021 financial performance as reported including our strong sequential revenue growth, our dramatic balance sheet improvements and our 250% plus year-over-year revenue growth guidance that we expect for the first two quarters of 2022 operations. 11:38 Matt, please go ahead.
Matt Aune: 11:41 Thanks, Alan. And good afternoon, everyone. I'd like to thank you all for joining us today for a review of our full year 2021 financial performance and our progress on key strategic initiatives. For clarity, I'll be discussing GAAP financial measures, unless otherwise specifically noted. Our press release, 8-K and website provide a reconciliation about GAAP to non-GAAP financial results. 12:07 Net revenues for the full year 2021 totaled $10.6 million, which represents 6% growth year-over-year. Our MaaS Platform Subscriptions and Services customers revenue was $5.3 million or 50% of net revenues. With the acquisition of Lyte Technologies that closed in mid-October, we were able to ship $3.1 million in computer hardware revenues or 29% of net revenues. This was a great achievement for the Lyte team with less than a full quarter with Phunware. 12:41 Gross margin was 33.9% compared to 66.4% last year. On a non-GAAP adjusted basis, gross margin was 43.9% compared to 69.4% in the previous year. The drop in gross margin can be attributed to two things, including: first, a mismatch of cost of goods sold and the revenues it is associated with. Our fulfillment team was diligently working on a few large projects that shifted out to 2022 after originally being scheduled for delivery in Q4 '21. 13:14 As we had discussed in the past, this situation does occur from time to time, but we expect to mitigate these scenarios in the future as we continue to grow our software business. The timing shift has negatively affected our margins in Q4 as we recognize the costs associated with the projects but have yet to recognize the revenue. We did our part on time, but we aren't always the only dependency, which is both a blessing and a curse. Multiple dependencies means that we are sticky and built a lot of consensus to be implemented. But sometimes it means we have to wait on folks who aren't as operationally efficient as we have become. 13:51 While I do expect our margins to fluctuate from time to time, a lower margin quarter generally means our bookings are strong and we are working to deliver on our backlog. I'd like to reiterate, we continue to have the long-term goal of 75% plus gross margins for our MaaS revenue. 14:10 Secondly, our new business line, Lyte by Phunware, has a different gross margin profile than we have had in the past. We have been moving quickly to fully integrate Lyte into Phunware and are pleased with the top line revenue achieved for Q4. As with any acquisition, we experienced increased costs above and below the line during our integration phase, which impacted our gross margins. We fully expect that gross margins will pick back up as we continue to integrate and grow in 2022. 14:42 Total operating expense was $20.5 million, slightly up from last year, excluding the $4.5 million charge for legal settlement we took in Q3 of 2020. The other noncash operating expense items were stock-based compensation and amortization of intangibles, making up a combined $4.1 million this year compared to $4.3 million in the prior year. By excluding these onetime and noncash charges along with the charge for legal settlement, adjusted operating expense was $16.3 million compared to $15.3 million last year. We have continued to invest in our sales and marketing teams year-over-year and plan to further invest in of areas to fuel our future growth. 15:24 Non-GAAP adjusted EBITDA loss was $11.7 million compared to $8.4 million last year. Net loss was $53.5 million or $0.71 per share compared to $22.2 million net loss or $0.50 per share loss last year. The main factors driving the change were a few accounting treatments that we are required to take, although they have minimal to no cash implications to operations. These factors include noncash charges for the fair value adjustment for warrant liabilities of $18.1 million and impairment of digital currency for $9.4 million, in addition to a onetime charge of just under $8 million for loss on extinguishment of debt related to the payoff of our 2020 senior convertible notes in the first half of 2021. 16:14 Non-GAAP EPS adjusting for these items, along with stock-based compensation and amortization of intangibles, was $0.21 per share loss for 2021 compared to $0.27 per share loss in 2020. Backlog and deferred revenue at the end of the year totaled $8.6 million, down slightly from $9.1 million at the end of last year. 16:39 Moving to the balance sheet. We closed the year with $23.1 million in cash and $4.9 million in debt. We also currently hold just over 641 Bitcoin and 1,217 Ethereum with an aggregate value of approximately $31 million based on today's prices. In closing, we are thrilled with our 2021 results, but are even more excited about the opportunities going forward in 2022 and beyond. In short, we are just getting started and now finally have the ability to go on the offensive. We have a strong balance sheet with very little debt and also have access to $200 million of additional capital as needed via our shelf offerings. 17:19 Importantly, we are committed to continuing to build revenue and market share in all business lines through both organic and inorganic opportunities. As Alan previously mentioned, we are positioned to start the year off strong and expect to post, for the first time as a public company, full quarterly revenue of more than $6 million here in Q1 2022. We will remain active with both financial conferences and investor meetings in our efforts to tell our story and further strengthen our corporate profile in the capital markets. We were happy to see our institutional ownership base double year-over-year led by the Vanguard Group and BlackRock and are extremely appreciative of our strong and growing retail investor base. 18:00 The next major financial conference we will be attending is the H.C. Wainwright Global Investment Conference on May 23 through May 25 in South Florida. We will look to augment the number of one-on-one conversations and meetings with high-class institutional investors at each event as opportunities present themselves. 18:20 With that, I'd like to turn the call over to Randall.
Randall Crowder: 18:24 Thanks, Matt. Phunware is a materially different operating company than it was when we reported the third quarter last year. What we were able to achieve in the fourth quarter has positioned us well for 2022. Now before I cover each of our unique business units, I wanted to take a moment to share our current mission and vision statements, which were recently refined and ratified by our Board. 18:47 Phunware's mission. Our dedicated team of pioneers deploy cutting-edge technology at the intersection of mobile, cloud, big data and blockchain in order to help any brand in any industry better engage, manage and monetize their global audiences and communities. Our Multiscreen as-a-Service enterprise cloud platform facilitates one-to-one engagements and interactions between brands and individuals with a focus on engaging the right person at the right time, in the right place on the right screen, in the right context in order to drive profitable behaviors and delight audiences worldwide, whether they are consumers, channel partners, employees or advocates. 19:31 Phunware's vision. We will create a Phunware ID for every human being on earth that has a device touching a network through their favorite brands, venues and applications that interface or intersect with Phunware MaaS software solutions or infrastructure. Our core vision is to transform the digital human experience worldwide by leveraging personal, corporate and government data to better inform, facilitate and improve interactions and engagements between brands and individuals in the real world and virtual world alike. 20:07 Now to achieve this, we have organized the company around four key business units: software subscriptions and services, application transactions, blockchain and Lyte by Phunware. As we further scale and commercialize each business unit, we will point back to these as we think about reporting unit-specific key performance indicators in the future and providing further guidance to the market. Software subscriptions and services. Although we see positive signs that point towards recovery, the pandemic continues to influence buying decisions and extend the sales cycles for many of our key software subscriptions and services verticals. However, the deals that did close were more indicative of the larger multiyear contracts that will generate higher margin recurring revenue. 20:51 Our average target total contract value for the deals we're focusing on today continues to trend up closer to $1 million with three to five-year SaaS license terms. Quarter-over-quarter, we saw the most activity and interest in these four verticals: MaaS Digital Front Door for healthcare, MaaS Smart Workplace for corporations, MaaS Smart City for local officials and chambers of commerce, MaaS Advocacy for politicians. 21:17 We also recently announced a new strategic partnership with Campaign Nucleus and are thrilled to work closely with Brad Parscale again on ensuring politicians have the best possible solutions to not only better engage voters, but also ensure their message is heard. It has also become evident that hospitality will be a key area of growth for us as we are engaged in significant discussions with multiple well-known brands to support their digital transformation initiatives. As Alan mentioned, we recently launched our Smart Hospitality Solution in Atlantis and the Bahamas, which is highlighted in our promotional video that was recently released. This comprehensive mobile solution has already begun generating additional revenue for Atlanta by tech-enabling the guest experience across Paradise Island, which is over 140 acres and includes five distinct resorts. 22:04 We are also thrilled to announce that we successfully deployed our Smart Workplace solution for Norfolk Southern, which has set a new standard for tech-enabling the employee experience at their new headquarters in Atlanta, Georgia. With over 25 integrations, employees can easily manage on-site operations such as lighting, room booking and parking reservations from one unified mobile experience. In addition to our industry-leading location-based services software, this ability to integrate with well over 100 third-party software platforms is a key competitive advantage for us. You can review a complete list of all the integrations we offer on phunware.com under Partners. 22:42 Application transactions. With regard to our Application Transactions business, we are seeing strong growth as we have expanded our focus to include working directly with brands rather than mostly through agencies. Many companies are struggling to keep up with the new advertising rules on popular platforms like Facebook and are equally concerned about managing consumer consent when it comes to data-enriching their media. Our Customer Data Platform helps the brands get more out of their marketing spend by ensuring they can identify and target the right consumers with engaging media on mobile. We also added four new sales reps to the team in the fourth quarter to help us capitalize on the momentum we've built heading into 2022. 23:25 Blockchain. Many people now understand how our MaaS platform can help brands contextually engage their customers, but blockchain technology offers us the ability to not only authenticate that engagement but also incentivize it. Since PhunCoin is a regulated security token that we are developing to blockchain enable our data exchange, it's critical that we take the appropriate steps to ensure trading occurs in a compliant manner. In the fourth quarter, we have been able to set up trading accounts for most of the people who previously invested in PhunCoin. This has taken longer than expected, but we plan to be live on the securitized platform by the end of the second quarter in 2022. 24:03 Securitized markets is an SEC and FINRA-registered broker dealer and operates securitize markets ATS, an Alternative Trading System. We are also working with our attorneys to prepare our Regulation A offering to support additional investments in and distributions of PhunCoin. In parallel, we anticipate decentralized exchanges like Uniswap to begin trading Phuntoken by the end of the first quarter. In fact, we recently launched a whitelisting program to support the effort to further decentralize this unique utility token designed to promote loyalty while ensuring participants complete the appropriate KYC and AML procedures. We will also be publishing a new website for PhunToken by the end of this month to better educate and engage our growing community. 24:49 To help consumers and brands manage their activities within our blockchain-enabled data exchange or Mobile Loyalty Ecosystem, PhunWallet is available for Apple iOS and Google Android and is receiving great feedback. As an extension of our mass platform, we are working on regular product updates, but larger road map milestones in 2022 include creating a comprehensive user registration and profile experience to make it easier for users to register as well as recover existing accounts across new devices, enhancing the profile experience to give users more control over the information they choose to share, the ability to update and access this information and an auditable account of their engagement activity. New support functionality to allow users to refer friends, family and colleagues while being rewarded for the networks they build. And location-based marketing that will enable consumers to interact with brands in the real world and be seamlessly rewarded with PhunToken. 25:45 Lyte by Phunware. As Matt and Alan already touched on, Lyte had a record fourth quarter as we initiated work to integrate them into Phunware following our acquisition. Fortunately, we were able to secure two important strategic supplier relationships in order to help us mitigate the supply chain constraints that many of our competitors continue to face. These relationships are critical to support the increased demand we are seeing and will support our international expansion. We are also excited to announce that we executed a new commercial lease on a warehouse just outside of Austin, where we'll be moving Lyte operations. At double the size of Lyte’s old warehouse in Illinois, we will have plenty of room to expand and the more efficient layout will better support the revenue growth targets Alan has set for the team. 26:29 As of the end of the year, we have grown to 118 employees with the addition of 41 Lyte employees who will be primarily operating out of Illinois until our new warehouse is up and running. Since the majority of our other employees are in Texas and California, we are assessing new office space in Austin and Newport Beach to support our efforts to return to the office. 26:47 In closing, on a more personal note, since I'm engaged to marry someone who was born and raised in Ukraine, I couldn't be more proud of our team for organizing supplies that recently arrived at the Ukrainian border to help refugees in need. 26:59 Now I'd like to turn things back over to Alan for final remarks.
Alan S. Knitowski: 27:02 Thanks, Randall. As highlighted throughout today's call, we are all extremely excited by the ongoing scaling of our MaaS blockchain ecosystem and the high-performance computing systems that we can now ship directly to consumers because of our Lyte Technology acquisition. What it means to me is that our decade-plus of MaaS platform building across mobile, cloud and big data, accompanied by our years of community engagement in blockchain and cryptocurrencies have resulted in the culmination and convergence of massive global addressable markets and trends that can now act as strong wind at our backs to further accelerate our recent growth. 27:40 We expect this ecosystem to complement and supplement our core MaaS offerings as we offer our enterprise customers additional capabilities to identify, engage and incent their target audiences. While many corporations and individuals are newly familiar with blockchain and cryptocurrencies, both Phunware and our executives have a long and distinguished history within the global digital asset community. As such, we expect to be a trusted bridge for Fortune 500 corporations and governments looking to leverage blockchain. Please look for additional announcements in the coming weeks and months ahead as we enable consumers to not only regain control of their data with PhunCoin, but also to reward them for their engagement with PhunToken, which can be purchased online with U.S. dollars, Bitcoin and Ethereum at buy.phuntoken.com. 28:37 In parallel, and as we would again reiterate here, we intend to complement and supplement our core organic growth activities through direct and indirect channels worldwide with opportunistic inorganic mergers and acquisitions. Importantly, and as we did late last year with Lyte Technology, we expect to focus our merger and acquisition activity rolling forward on targets that are operating profitably and would represent accretive deals of areas that will provide more customers, more partnerships and more distribution for our MaaS platform and cryptocurrency ecosystem, especially in international markets, including Europe, Asia and South America. 29:21 Finally, and importantly rolling forward, we expect to maintain a laser focus on our core operating and financial model, which includes a rather breath-taking top line revenue growth of 250% or more year-over-year, all while consistently working towards cash neutrality from operations at scale. In parallel, we also expect to leverage our newfound balance sheet strength to transition our corporate treasury activities into a strategic asset for the company. Not only can you expect to see more purchases of Bitcoin as we go for storing value and protecting ourselves from rampant inflation, but you can also expect to see an efficient and strategic use of stable coins and decentralized finance or DeFi to generate meaningful financial returns for our overall operations and results. 30:10 With that, and in conjunction with a sincere thank you for your ongoing interest and support in all that we do on behalf of the entire Phunware family worldwide, I would like to now open up the call for questions through the operator. Operator, go ahead, please.
Operator: 30:27 Certainly. The floor is now open for questions. [Operator Instructions] Your first question is coming from Darren Aftahi with ROTH Capital Partners. Your line is live.
Darren Aftahi: 31:01 Hey, guys. Thanks for taking my questions. [Indiscernible] first, can you speak to the MaaS revenue pushout on 4Q and actually quantify how big that is?
Alan S. Knitowski: 31:16 Yes. We'll let Matt actually walk through the delay. But as you were saying, it really goes through, we had in Q2 and again in Q4, where you end up having those timing issues when we finish launches, and the way the revenue recognition actually works is that we have to wait for them to do the launch in order for us to recognize the revenue. So Matt, do you want to actually quantify that in terms of the Norfolk Southern piece, which is predominantly that [Indiscernible].
Matt Aune: 31:40 Yes. Thanks, Darren. Yes. So it's a similar situation that we talked about back in Q2 in terms of pushout, and it just so happens that it's tied mostly to one customer here. And as we've talked about in the past, it's a good thing and that this is basically furthering the engagement even more and building that up. So in terms of the amount, I believe it's somewhere in the neighborhood of $0.25 million to $0.5 million tied to – tied to that project. There's some other stuff that we've got to go through in terms of another customer it's related to as well, but we're probably talking somewhere like $250,000, $300,000 that's kind of related to that project.
Darren Aftahi: 32:27 Great. That's helpful. And then can you speak to your indirect channel partners you signed and kind of how that's progressing and when we could actually see kind of yield on those relationships in 2022?
Alan S. Knitowski: 32:43 Yes, I'll take the first part, and then I'm going to hand over to Randall for the second piece. So we spent most of COVID, especially 2021, working through activating our partner portal inclusive of documentation, training and certification activities across each of the names that we mentioned in my section on the earnings call. What we've been doing is using that period to actually work through their processes in order to go live. Depending on which group it is, they, on average, think about six to 12 months is as they phrase the proverbial cog in the wheel to get moving for them to have all of their sales folks trained, their marketing groups, and a lot of the packaging that they do in pricing manuals specific to marketing packages on go-to-market. 33:28 As we've been going through this, what we found that the biggest gating item to them scaling out has predominantly been their timing of being back on the office and doing the in-person meeting to meet their own customers. So we only uniquely see this on the software side, both direct and indirect. As we found the average price of a lot of these deals, it used to be more like $0.5 million. They seem to be closer to $1.5 million. What used to be two to four months tends to be three to six. The budgets are bigger because they were unspent last year, but they're a little bit more deliberate because their timing when they actually get back, the Norfolk Southern piece Matt mentioned actually was a direct deal, but that actually was to the timing of their new headquarters in Atlanta. 34:15 They were going to have everyone in, in Q4. They pushed it to Q1, which is where we had the COGS and revenue go. But Randall, why don't you provide some additional flavor and context on the various indirect channels and some of the differences you're seeing between hardware versus service provider and consultants.
Randall Crowder: 34:35 Yes. Thanks, Alan. I think you've covered it pretty well. I mean we spent a lot of the second half of the year just kind of getting all the deal reg portal set up, getting all the collateral set up, and then it takes a while to kind of train them. And then in a situation like Carrier, we're also working through training their VARs. They do a lot of selling through VARs. And so I think that's going to still be a little bit of an unknown for us. How long it takes for their teams to activate. Our goal is to sign up as many as possible, get as many as possible trains. And really, I think probably the biggest difference kind of going into this year is seeing a lot more on the software side. There's a lot of engineering groups and folks who are doing a lot of large kind of Fortune 500 work. We don't want to start from scratch, who we kind of always felt would be competitors, but actually kind of works in concert with us because they don't really focus on mobile. And so a lot of those have been reaching out and looking at probably applying our mobile platform to a much larger project. 35:30 So I think it's going to be still probably second half of 2022 before we start seeing meaningful growth out of the existing indirect channels that we have. And I think most of that is going to be hardware and system integrators still. But I'd like to see a lot of these software vendors come online as well who could probably execute a little faster because they're working on these larger projects, and they had an immediate need now. But again, it's still – I know it's a slow process, and we have been saying this for a while, but these are multibillion-dollar companies. They don't move fast. We were just at [Indiscernible] again with Cox. As you may recall, Cox is licensing our healthcare solution. We announced last year that HID was licensing our Smart Workplace solutions. And these are multibillion-dollar companies. And so this thing this takes a while, but this is no different than Microsoft trying to get Microsoft Office on every phone and every computer rather than selling direct to every people person with a phone or a computer. So again, I think it will still be probably second half of the year before we see meaningful growth in revenue from those indirect channels.
Darren Aftahi: 36:45 Thanks. Maybe if I could squeeze the last two into one. So I'm just kind of curious, the reception you've had from brands in terms of wanting to use PhunToken as kind of a white label with customers. And then secondarily, since you announced partnership with Campaign Nucleus, what kind of traction have you seen in terms of like pipeline and interest in the political space? Thanks.
Randall Crowder: 37:11 I'll take the first one and then maybe Alan can take the second one. Yes, I was going to say on the crypto effect, it's actually pretty exciting. There's a couple of different flavors in how brands think about our crypto ecosystem. I think most of them are starting with kind of the value proposition of PhunToken. And so this idea of, hey, I've got certain things that I want my customers to do more of, we call it driving profitable behavior. And so -- but I don't want to necessarily take on the headache of launching my own cryptocurrency, launching a team that can manage customer support, wallet addresses, all of the compliance that would be required of any meaningful company, especially a public company. 37:49 And so I think that's what we offer, that ability to kind of have compliant utility token as a service. And so we're seeing initially a lot of folks kind of in the engagement space, the kind of modeling rewards. So things like fantasy sports, things where there's a lot of gamification involved. Those are kind of the initial ones that we're talking to today. And so I think I'm really excited about that. A lot of people are saying -- I think that's kind of the first conversation I ask them. It's like, do you want to have your own token ecosystem? And kind of uniformly, they're like absolutely not. I just don't want to deal with it. I want to focus on what we do well and all we want is really the benefit of it without having to deal with the headache. 38:30 So that's great for us because we get to kind of book that as revenue. Basically, it's software to us, really great gross margin software for us. And then they get the benefit of not having to keep any of these reward points of the liability on their books and not have to deal with any of the headaches of minting their own token, dealing with exchanges and dealing with all the headaches of what happens when you have a cryptocurrency, which quite frankly is still a new industry. You're dealing with a lot with fraud, you're dealing a lot with bot attacks, you're feeling a lot of complexity of exactly how these ecosystems develop. 39:07 And so we've had to end up kind of working on our own things just because the industry didn't have the right ecosystem to meet our needs like self-sovereign identity. And then also kind of how we address Layer two scaling. So that's going to be the future of crypto in terms of how it kind of crosses the chasm in the mainstream. You're going to have centralized companies deploying decentralized ecosystems so that they can handle things like fraud and scaling appropriately. But getting a good response so far in a lot of different conversations with brands who would use that as kind of a crypto as a service, if you will.
Alan S. Knitowski: 39:48 Yes. And I'll take the part on the question about Campaign Nucleus and our work with Brad Parcel Obviously, we have a long-standing history of working with Brad that dates back to the work on American Made Media consultants during the Trump 2020 election. We're super proud of all the work that we did on iOS and Android. It was the most advanced application portfolio for advocates and constituents ever done in politics anywhere in the world. And we held up at scale. None of our systems were hacked and we really proved ourselves under MaaS scale and very difficult circumstances. Things like the Olympic Games helped us, the World Cup helped us. But when we applied this to politics -- we're a software company and a cloud platform and infrastructure company at the end of the day, but it was fascinating to see the level of reactions that happened. 40:42 I don't see a lot of reactions with Apple or Dell licensed iPhones or computers to Republican party. But boy, did we get a lot of grief from all over the place because we did it for software. What Brad and our team have been focused on, and Brad's running Campaign Nucleus, he's really working to aggressively create a dedicated CRM that would be like Salesforce, for lack of a better comparable, but specifically and only for center right politics globally. What we do is everything Brad and Campaign Nucleus doesn't. So we handle the platform in the cloud. We have all the components that help engage, manage and monetize audiences. We have a specialty in mobile, proven reliability and security at scale. And so we're a great partner. And to that end, we're currently working on development, and this will be really important and something that will be done by the end of Q2. 41:44 But we're actually putting a whole series of solutions that are dedicated for the political vertical and for advocacy predominantly on a center-right basis. This doesn't just include local elections that are tied to cities and counties, but this gets into state and federal elections, including international opportunities. As you know, around the world in all democratic organizations, they're having president elections and their own version of congress, their version of the senate, the house and so forth. So we're really excited that we're literally jointly partnered and jointly developing all of that. We have all the applications that are based on what we built for President Trump in the last election. We're trying to make those available. 42:30 So whether you're running for Mayor, City Council, State representative, whether you're running for the U.S. Senate, U.S. House of Representatives or literally anything in between up to the President of the United States or the President for Congress in another country, we fully intend to provide solutions from local to national and international for everyone. Recently, as some of you may have seen, which is probably important to highlight, there's always a lot of activity and noise around Congress in January 6, and you probably saw a lot of press where there was some subpoena activity that went out towards Salesforce to get access to all of the data for the Republican National Committee and the GOP. 43:15 And fundamentally, what just happened, we're not a part of any of that, but when Salesforce is going to try to turn over all that data, I think the Republican groups are trying to block that because that's literally all of the information around all the people that they interact with for their own constituencies. And I don't know how that plays out. But I will say that, that probably was a shot across the bow and what that just did for us since it opened up half of the United States where absolutely nobody who's dealing with the GOP to RNC are ever again going to be licensing from Salesforce for any reason because all of their data tied to their relationships, they believe are theirs, much like when we do work for our customers, our customers' data are their own. Any individual using an application of Phunware, it's their identity, they own it, they're in charge of it, they decide what happens 44:19 We're a platform. And so we honor that personal data sovereignty at the individual app user level and for every customer that we have and every channel partner we have. And while we have no involvement in all of that public activity that's been going around just in the last two weeks, I can assure you that that's going to dramatically open up opportunities and a shift in spending because nobody is going to shift to anyone who is going to hand over their customer data or information. And I fully understand that. And we're very proud that we've complied with privacy, data, things like GDPR, COPPA and all these other rules long before this was even a fashionable topic. So we're excited that we're going to have these joint solutions. 45:05 We have all of our expertise from what we built in the past. We're going to amplify that. We're going to go to market. We know the big prize, all the cycles leading into 2024. But obviously, here in November, there's going to be midterms, and we've been having communication with folks from coast to coast in different kind of potential election races and are excited wherever we can deploy our solutions to help have an easier and more direct conduit between candidates and their constituents so that people can make smarter decisions on who they want to vote for and why.
Darren Aftahi: 45:40 Thanks, guys.
Operator: 45:45 Your next question is coming from Scott Buck with H.C. Wainright. Your line is live.
Scott Buck: 45:52 Hi, good afternoon, guys.
Alan S. Knitowski: 45:56 Hi Scott. How are you?
Scott Buck: 45:58 Good, good. I just have a couple of questions. First, I know it's early, but can you give us a little color on where you are in terms of kind of cross-selling with Lyte? I know you've done some advertising of their products on your sites over the holiday season. I'm just kind of curious where that stands and what early feedback has been?
Alan S. Knitowski: 46:21 Yes. Let me start with the high level, and then I'm going to have Randall finish the thoughts on a lot of operational things. So again, we have our kind of four areas of business. We have the software part of the business. We have the application transaction part of the business. We have the cryptocurrency piece of the business and then we have the Lyte by Phunware hardware part of the business. As you might expect, what we've been trying to do is first thing last quarter, we focused on acquisition integration for Lyte, optimizing the supply chain, working through demand gen, scaling, getting our new production facility up and a whole bunch of operational logistics that I'll let Randall try and get into. But what we've been focusing on is we look at every one of these as conduits for distribution of Phunware software. 47:11 And so when we sell our software directly to corporations and governments, obviously, our software development kits, application program interfaces or our vertical solutions get adopted and included and then go to market with their audiences, and that's great for expansion of our Phunware IDs. In parallel, right now, with Lyte by Phunware, we're focused on the operational logistics to scale with stand-alone computing delivery. 47:38 And it's really going to be starting in third and fourth quarter where we'll start adding more components, probably initially things like PhunWallet and then we'll slowly start expanding where we can take the capabilities of our crypto-ecosystem and our rewards ecosystem and start making that available for each of these decentralized nodes as we sell those pieces of hardware. And ideally, we'll even have systems that will help people get an ROI on their computer, both when they're actively engaging, like play a game or play to engage with advertising or surveys. And on the flip side of that, there'll be passive opportunities where you can do mining and other things to also pay down the cost of that hardware. 48:24 So think of Lyte as the first half of the year is all about direct operational integration and scale, supply chain, demand gen. We've recently added a new country. We just started selling in Canada to go along with what was exclusively in the past just the United States. So we expect to open more markets as we go to help scale faster and bigger. And then we think on the application transaction piece, we've been seeing growth. We're bigger than we were before COVID. We've added about five new media -- senior media sales, and we're scaling that business and they're chomping at the bit for us to be able to start pitching everything that's going on within our data ecosystem to expose customer segments and demographic information for people to engage with. 49:15 And so at a high level, that's what it looks like. And then what I want Randall to do is he can walk you through the flywheel of how adding audience leads to data, leads to more segments, which leads to the brand interaction and how we focus on using cash for them to purchase. And then the PhunToken is an operational thing within the ecosystem, so we don't have to retrain anybody to think about like how do I buy crypto. We don't want them to do that. But Randall, can you highlight that flywheel and kind of walk through the details of how that cross-selling works?
Randall Crowder: 49:50 Yes. Honestly, I think you hit it. So I mean I think you probably have -- I know we're running Lyte – Lyte on time, so we probably have -- use the last 10 minutes for some more questions because you know that. I mean I think that was a very good answer.
Scott Buck: 50:04 All right guys. I appreciate the color there. Second one for me. Could you kind of update us on path to profitability? And generally, how you're thinking about the kind of push-pull between generating positive EBITDA versus reinvesting in growth in the business?
Alan S. Knitowski: 50:20 Yes, I'll start, and then I'll give it to Matt. We're focused on scaling revenue right now, and we want to drive ourselves whereas we're going along that, we're driving the cash neutrality. Obviously, COVID was kind of an 18 to 24-month delay of that process. Obviously, we added Lyte to buy. But right now, honestly, we focus on how do we be like Amazon when it was growing, how do we be like Salesforce when it was growing. And our goal is to take any and all profitability within cryptocurrency within our PC hardware business, within the media side of our business and plough all that back in to keep building out our platform, building out the software direct and indirect, adding more sales, adding more marketing. Because based on our size, we understand that people want to see revenue growth. The idea of profitability, it's important and interesting. But we're going to focus like Salesforce and Amazon. We don't see that as a this year event. And Matt can give you a little more context about how he rightly manages that and keeps Randall and I under control about being very measured.
Matt Aune: 51:33 Yes. And I'll answer quickly because, Alan, you said a lot of it there as well. I think in terms of profitability, we're going in that direction, but we're not there yet. I certainly think that the second half of the year, there's an opportunity to get closer to kind of a breakeven cash neutrality position. In terms of kind of gross margins, that's really what we're focusing on now is kind of optimizing gross margins between all the business lines and certainly Lyte as a new business for us. There's a little bit of a learning curve and getting them integrated and really focused on the margins there. So my focus is really on building the gross margin and then whatever drop in the bottom line is really going back into the business right now. And then we'll evaluate throughout the year, kind of see where we are and see what makes sense that we've got things to invest in, and we'll put it back in the company. If not, then we get closer to that cash neutral position.
Scott Buck: 52:32 Great. I appreciate the time guys.
Matt Aune: 52:39 Thank you.
Alan S. Knitowski: 52:38 Thanks, Scott.
Operator: 52:42 Your next question is coming from Howard Halpern with Taglich Brothers. Your line is live.
Howard Halpern: 52:48 Hi, guys. Just a quick question, I guess, on how you plan on, I guess, marketing or the marketing dollars you expect to deploy for Lyte? And even for the, I guess, what Randall talked about, crypto as a service, to basically brand yourself in the area?
Randall Crowder: 53:13 Yes, I'll start. So the good thing about a lot of what we're doing, I mean, I think it's no surprise that we've got a lot of attention on Phunware as a whole. And all of that through our IR efforts. Actually happens to be the exact same customers that we would target with a lot of kind of, for example, the crypto-ecosystem. So Robinhood traders, people who are following stocks like us. I reserve the right to not call ourselves immune stocking, but a lot of people did come with that excitement but stayed for the company and kind of begun learning about the company. And so we've been able to -- besides a lot of the stuff we're doing in IR to kind of get the word out more around Phun, a lot of people will tell you we're very active in different channels, different social channels, which I think is new for a lot of public companies. They haven't done that, they didn't have the wherewithal around that. How do you just -- you have to just be doing it every single day, that constant flow of new content, new messaging, new community building. And I think we're doing that exceedingly well, which I think helps us trade better. But a lot of those people are also the exact kind of people that we would target for PhunToken today and then PhunCoin in the future and then also tied to both of those is the PhunWallet downloads. 54:35 So we're able to kind of double, triple dip a lot of these and get people excited. And then where we see a lot of kind of common goals around approach is in our app transactions business. So just like we want to sell data enriched media, do a lot of big brands and have them kind of be able to better target one-to-one engagements with consumers. Those exact same people are thinking about engagement through awards program as well. So it's a lot of the same kind of methodology to market to them, just marketing different opportunities. And so -- and that's not that much different than where we started that with a lot of this. As you all may recall, a lot of this ecosystem got thought out with our current Board member, Kathy Mayer, who is the former CEO and CMO of Carnival. And as I think I've used in a couple of different examples, our software as a whole could put infomercial-like capability into their app in order to showcase certain things they might want their customers to do. Taking that one step further, they might want to incentivize the ability to watch that in commercial, so they could actually leverage PhunToken for that. So a lot of what we're doing kind of nests within itself or is a natural extension of what we have. It's not like a pivot, or we have to think of some new marketing scheme in order to reach those same customers. It's a lot of the same approach and the same workflow. It depends on what the brand is trying to achieve.
Howard Halpern: 56:05 Okay. And for the Lyte segment, are you going to put some more dollars marketing? Or is it more going to be like the social networking that you talked about?
Randall Crowder: 56:17 No, no, we are, certainly. I mean that's why we had such a -- we had a record Q4. They would have never been able to accomplish that if it wasn't for the Phunware acquisition. And so we understand kind of how to market, where to spend dollars, but also where to get a little bit more growth in our dollars. So it's not kind of one to one. We're not running Super Bowl ads that are going to be crazy expensive, not if we can reach out to amazing switch influencers or amazing YouTube influencers who have one million subscribers all talking about the gaming ecosystem. 56:54 And by the way, those people are usually also either mining Bitcoin, Ethereum or really rapid kind of community builders around cryptocurrency. So it actually becomes the same target audience. And so you reach those same target audiences the same way. So the days of old school running commercials and flyers and all of that, those days are gone for a lot of industries. And so I think we've got a pretty good handle on how to reach people where they are today. So we're going to keep focusing on that, both for Lyte, for PhunToken and for overall stockholder awareness and shareholder awareness when it comes to Phun.
Howard Halpern: 57:33 Okay. Okay, well. Thanks. Keep up to great work, guys.
Randall Crowder: 57:37 Thanks, Howard.
Operator: 57:40 Your next question is coming from Ed Woo with Ascendant Capital. Your line is live.
Edward Woo: 57:47 Yes. Congratulations on the quarter. My question is on your M&A strategy now that you guys are almost on integrating Lyte.
AlanS. Knitowski: 57:55 Yes. I would be happy to answer that. So I really say jokingly that we have to keep a lot of frogs, so to speak, to find a good fit. Right now, we've been actively looking internationally. And in some ways, they kind of equated to trying to like buy a home right now. There are a lot of people that are out there with money and assets looking to add other assets, people trying to buy homes or struggling to find inventory. If they do, they're trying to find something that works for their family and on and on. So in the M&A part, we're actually very aggressive and very active in having lots of conversations on a regular basis. We review opportunities. Typically, we find some companies that are trading in other public markets elsewhere in the world. They may not have a lot of volume or liquidity. They may not have a lot of trading, but often, it's a little bit messier to get consensus around approvals on the kind of deals we might like to do. 58:54 So we've seen management teams that want to do a deal with boards or shareholders that don't. That's been the case in both public settings and private setting. And then in the private, you see so many people chasing deals, whether they're angel investors, family offices, venture capitalists, private equity firms between private and public companies that they're looking to deploy. A little bit of equity, but mostly debt, and then aggregate. You're going to see a lot of competition for deals. And so you have to be disciplined, and I applaud Matt and his team's effort with -- even Randall. There's kind of the strategic and operational interest of what we want to do to add in these two areas of business. And that includes domestically and abroad, but then you have to be financially disciplined because some of the multiples people want are relatively insane. 59:44 We only are looking at accretive add-ons. And then we're typically looking at things of at least $10 million in size or more just because the accounting, the audit, the legal, the deal documents, the due diligence, all those costs get relatively fixed on big deals, small deals. And so I think we're just going to keep doing that. We want to enter international markets through a small accretive acquisition that we can then roll out or model through. And then in other cases like Lyte, we don't really have to necessarily buy companies to make that happen. We just have to launch new markets. So I would say you're less likely to see M&A in the Lyte Technology hardware business. You're less likely to see acquisitions in the cryptocurrency things that we're launching in the short term. Where most of the things are, can we bulk up our application transaction business inclusive of app users and data to service our new crypto ecosystem. And then can we find additional ways to get more capability in our software platform and our solutions and products that we offer.
Ed Woo: 60:53 Great. Well, thanks for answering my questions and I will wish you guys good luck. Thank you.
Alan S. Knitowski: 60:58 Thanks, Ed.
Operator: 60:58 We have no further questions from the lines at this time. I would now like to turn the floor back to Alan Knitowski for closing remarks.
Alan S. Knitowski: 61:08 Sure. In closing, I'd just like to say, we really value and appreciate all the investors that have been helpful in support of Phunware. While we do get a chance to go out to financial conferences, like Matt and I just did at the ROTH Capital Conference and I got a chance to meet face to face with some institutional investors, we really value our retail investors around the world. In our crypto world, we see huge interest and activity in South Korea, over in Germany, over in Greece and here in the United States, amongst other countries. And we have very active folks. We have Telegram channels with people talking all the time. Randall and I and Matt and the team are trying to be very available, not just to institution but to retail investors. 61:53 We value and appreciate all of you more than you could possibly imagine. And we really are excited by the opportunities that we have. We've gotten a chance to start getting out to institutional investors, again, who are now starting to get together in person and meet and we expect that to accelerate throughout the balance of the year. But we'll be scheduling some more things to talk to retail as we always do. And retail has been there the whole time. Pandemic, no pandemic, we're having lots of interactions and communications. And we look at that as a strategic advantage for our shareholders, our cap table and the future of what we're going to be able to accomplish through our direct-to-consumer channel. 62:31 So in conclusion, I'd just like to say there's obviously a lot of crazy things going on in the world, domestically and abroad. We're very excited by the opportunity that we have coming out of the pandemic. We hope that calmer heads prevail globally, and we can get back to living life, conducting business and just really flourishing as the species around the world. Some of the craziness at times does good things to remind us how sacred life is and how sacred our relationships are and how important it is to do the things we do at home and to really have some exciting things to change society for the better in our work, and we couldn't do it without all of you, and we very much appreciate you being part of our Phunware family. 63:17 So with that, thank you very much. We're getting ready to close Q1. We look forward in mid-May to talking again. And in the interim, we plan to kick some MaaS and we're looking forward to doing that in conjunction with all of you. So thank you very much.
Operator: 63:36 Thank you, ladies and gentlemen. This concludes today's event. You may disconnect at this time and have a wonderful day. Thank you for your participation.